Operator: Good day and welcome to the nLIGHT First Quarter 2020 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Jason Willey, nLIGHT’s Senior Director of Investor Relations and Corporate Development. Please go ahead.
Jason Willey: Thank you and good afternoon, everyone. As the operator said, I am Jason Willey, nLIGHT’s Senior Director of Investor Relations and Corporate Development. Scott Keeney, Chief Executive Officer of nLIGHT; and Ran Bareket, Chief Financial Officer, will be speaker on today’s call. If you have any questions after the call, please direct them to me at 360-567-4890 or jason.willey@nlight.net. A copy of today’s earnings press release and earnings slide presentation are available on the Investor Relations section of our website at investors.nlight.net. In addition, you can access an archived version of today’s call from our website. In today’s call, our discussion will contain forward-looking statements, including statements about the potential impact of the ongoing COVID-19 pandemic financial projections, future business growth, trends and related factors, prospects for expanding and penetrating addressable markets, and our strategic focus and objectives. Forward-looking statements are subject to risks and uncertainties, many of which are beyond our control, including the risks and uncertainties described from time to time in our SEC filings. As results may differ materially from those projected on today’s call, we undertake no obligation to update publicly any forward-looking statement except as required by law. Additionally, certain non-GAAP financial measures will be discussed on this call. We provided reconciliations of these non-GAAP financial measures to the most directly comparable GAAP financial measures in our earnings release, which can be found on the Investor Relations section of our website. I would also like to note that members of nLIGHT management will participate in several virtual conferences over the coming weeks, including Oppenheimer on May 12, Needham on May 19, and Craig-Hallum on May 27. I’m going to now turn the call over to Scott, who will provide an update on the current environment and the markets we serve. Ran will then go through our financials and outlook. We will then be glad to take your questions.
Scott Keeney: Thank you, Jason. Before discussing nLIGHT’s financial and business performance, I want to say a few words on the COVID-19 pandemic, which has had an unprecedented impact on global daily life and economic activity. Through these uncertain times, our priority is ensuring the health and well-being of our global workforce and the communities in which we operate. At the same time, we remain focused on supporting the needs of our customers, suppliers and partners. As a provider of essential products and technologies to a variety of critical aerospace and defense, industrial and medical-end applications, all of our manufacturing facilities remain open. We have implemented safety procedures at our facilities based upon local and federal government guidelines to protect the wellbeing of each of our employees. I want to express my deep gratitude and appreciation for all nLIGHT employees who put an extra effort to sustain our operations through these difficult times. We continue to invest in the development of our differentiated technology. And we remain steadfast in our belief that we are positioned to deliver significant growth over the long term. In industrial applications, high-power lasers remain underpenetrated, particularly in geographies outside of China. Additionally, global manufacturing operations increasingly require the ability to work with complex parts in an automated manner. Both these dynamics are key drivers for future laser adoption. We are well positioned to capitalize on these trends with our industry-leading semiconductor laser technology, a full portfolio of highly reliable fiber lasers and truly differentiated offerings such as programmability. In aerospace and defense, we expect spending on directed energy lasers to expand meaningfully over the coming years. Fiber laser technology continues to improve and governments are increasing their focus on deploying laser technology in the field. Here, we are a leader with our vertical integration of key enabling technologies from semiconductor lasers through beam control. While the current COVID-19 crisis presents challenges for us in the markets we serve, it has not altered our focus on driving technology and new product development. We are well positioned operationally and financially to continue to bring innovative products to market and to increase our penetration with new and existing customers. We have a strong balance sheet with over $100 million of net cash at the end of Q1. At the same time, we are being proactive in managing our cash and we have undertaken a number of cash management actions, which Ran will discuss later. We continue to prioritize investments in research and development and initiatives we view as essential for ensuring our ability to drive long-term growth. One of these investments is our purchase at the end of March of land and buildings in Camas, Washington. The site was previously occupied by Sharp Laboratories of America and will serve as our future corporate headquarters. We see this facility as a unique asset in the local area as it offers existing clean-room space, offices and manufacturing space. The facility will support our investment in setting up new automated manufacturing and provide space for future company expansion. Our strong balance sheet and our belief in the opportunity in front of nLIGHT, puts us in a position to be opportunistic with this purchase. Beginning on Slide 3 of our earnings presentation, I will review highlights of our performance during the first quarter. Like many organizations, nLIGHT’s operations have been impacted by the unprecedented disruption and shutdown of business activity around the globe. We first witnessed this at our facility in Shanghai, China, when in February we had a slower restart of operations post Chinese New Year. We have also seen the impact of our customers and partners across the globe as end-demand and supply chains have been disrupted by government-mandated shutdowns and uncertainty around the ultimate impact of the virus. Despite these challenges, we were able to deliver first quarter financial performance that exceeded the outlook we provided in the middle of February. This performance reflects strong execution across the organization as our manufacturing and facilities teams stepped up and responded to the highly fluid environment. In China, we saw less manufacturing and supply chain disruption than we had anticipated when we provided our outlook. While there was delay in getting operations back to full capacity, we were able to accomplish this before quarter end and ahead of plan. Across the business, we have not, to date, experienced any meaningful supply chain disruptions. Demand in our commercial end markets was resilient relative to the lower expectations we outlined back in February. We saw activity in the Chinese industrial market pick up in March and a smaller impact on non-China industrial sales than anticipated. In aerospace and defense, we delivered record sales as activity was strong across the business. Moving to Slide 4, I will provide an update on the current business environment and the near-term outlook for our 3 end-markets. As we sit here today, demand is holding up across most of the commercial end-markets we serve. Our order book is strong in aerospace and defense, and we expect the contribution from Nutronics to continue to grow as the year progresses. In aerospace and defense, we delivered a record quarter of revenue in Q1, up 34% on an organic basis, and 83% including the contribution from Nutronics. Aerospace and defense accounted for 39% of overall company revenues during the quarter. We saw strong demand from our core customers, supporting long-standing programs, and benefited from increased activity around directed energy in both our products and our development segments. With Nutronics, the integration is progressing well, and we are already seeing the benefits of enhanced collaboration on product development. We have good visibility into the aerospace and defense portion of our business and we expect the strong trends we experienced in Q1 to continue as the year progresses. Within microfabrication, our sales were down 28% compared to the first quarter of 2019. Sales remain constrained by more limited market activity across several key end-applications, including consumer electronics and automotive. Within China, we saw some encouraging signs related to consumer electronics and application demand. We believe the primary driver for this is investment in ramping product manufacturing to support 5G, including networks and handsets. Spending in this area in China appears to be accelerating and is helping our outlook for the microfabrication end-market in Q2. Our industrial business declined 12% year-over-year in the first quarter. And China demand was negatively impacted by a reduction in the pace of business due to COVID-19 shutdowns and uncertainty. However, demand showed improvement as the quarter progressed. The positive momentum has carried over into April as current order levels in the Chinese industrial market are healthy. Turning to Slide 5 across geographies, our fiber laser sales are shifting to higher power. During Q1, our 6-kilowatt and above fiber laser sales nearly doubled year-over-year. Sales in this category accounted for approximately 49% of our total fiber laser sales, which compares to 24% in the comparable period in 2019. We continue to drive our product road map to support higher power levels and provide customers with highly reliable differentiated solutions. Moving to Slide 6, we continue to have success increasing penetration at target accounts in our non-Chinese industrial business. Key to this is providing customers with differentiated technology. We see strong customer interest in our programmability offerings and growing engagement in our well-being solutions, while we anticipate quarterly variability in the geographic split of our revenues. Over time, we see the trend of a more balanced geographic exposure continuing. This will be driven by growth in directed energy and our non-China industrial sales. Our Q1 China revenue was below 30% of total company revenues for the first time since Q1 2016, and industrial revenue in China was less than 20% of overall company revenue during the quarter. In conclusion, I would like to extend a word of gratitude to all of our employees for their extraordinary efforts during this crisis. The dedication of all nLIGHT employees has helped ensure we sustain our operations and are able to support our customers and partners through these challenging times. As we look forward, nLIGHT is on strong financial footing, and we continue to make investments in our business and focus on driving innovation across our product portfolio. These investments position us to benefit from long-term secular trends that we continue to see driving the adoption of high-power lasers. I will now turn the call over to Ran to provide more detail around our Q1 financial performance, and outlook for the second quarter.
Ran Bareket: Thank you, Scott, and good afternoon, everyone. Beginning on Slide 9. Revenue of $43.2 million was up 3.2% year-over-year and down 7.4% on an organic basis when adjusting for the $4.4 million contribution from Nutronics. Total revenue include $36.9 million of product revenue and $6.3 million of development revenue. While we face significant challenges in the quarter as COVID-19 impacted global economic activity, our performance exceeded the outlook range we provided in mid-February. The primary driver of the better-than-expected results was our ability to meet greater portion of customer demand compared with our initial expectations. Our Chinese manufacturing operation ramped faster than we anticipated post-shutdown, and we experienced only limited supply chain disruption. Demand in the quarter also proved more resilient than we expected, particularly in the industrial business outside of China. Moving to Slide 10, gross margin was 22% in the first quarter compared with 32.3% in the comparable period of 2019. Product gross margin was 24.5% and development gross margin was 7.5%. Overall gross margin was negatively impacted by lower product sales volume, price declines and unfavorable mix, which was partially offset by cost improvements. During the quarter, we saw an almost $5 million year-over-year decrease in product revenue, significantly lower contribution from the microfabrication end market and $6.3 million of development revenues at 7.5% gross margin. The negative impact on Q1 gross margin of U.S.-China tariff implemented since mid-2018 was approximately $1 million. Turning to Slide 11, operating expenses were $16.2 million during the first quarter compared with $14.6 million in the first quarter of 2019 and $19 million in Q4 2019. First quarter operating expenses included $3.4 million of stock-based compensation, an increase of $1.7 million year-over-year. Also included in Q1 results was $656,000 of purchase intangible amortization compared with no intangible amortization in Q1 of 2019. Operating expenses for the quarter were flat compared with Q1 2019, excluding stock-based compensation and reflect a strong focus on cost controls. Moving to Slide 12, GAAP net loss for the quarter of 2020 was a loss of $7.5 million, compared with a loss of $1.2 million during Q1 2019. GAAP EPS for the first quarter of 2020 was a loss of $0.20 per share compared with a loss of $0.03 per share in the first quarter of 2019. Our adjusted EBITDA for the quarter was $237,000. This compares to $3.1 million or 7.3% of revenues in Q1 2019. While the first quarter adjusted EBITDA declined year-over-year, the results were well above our outlook range we provided, driven by better-than-expected revenues, overall cost control and smaller COVID-19 cost impact. During Q1, we used $1.1 million of cash from operating activities. Capital expenditure for the quarter was $2.6 million or 6.1% of revenues. On March 31, we finalized the purchase of property and land in Camas, Washington for $12.5 million. The property consists of approximately 21 acres of land, 2 adjoining building with approximately 165,000 square feet of office space, clean rooms and manufacturing space. To provide funding for these assets, we drew down $15 million from our $40 million lines of credit. Moving to Slide 13, we ended Q1 with total cash and cash equivalents of $116 million and $15 million in debt. DSO for the first quarter of 2020 was 56 days. Inventory at the end of the quarter was $49 million, representing 120 days in inventory. Our balance sheet remains strong, and we believe it provides ample flexibility to execute our long-term strategy. In order to proactively manage our cash and liquidity, we have instituted a number of cash conservation measures, which include postponing annual merit salary increase, mid-year bonuses deferrals and a review of outside service providers’ fee. Additionally, senior management has taken a temporary reduction in cash compensation over the next 6 months and receive vesting RSUs in the amount of the foregone cash compensation. Turning to Slide 14 and our outlook for Q2 2020, based on the information available today, we expect Q2 revenues to be in a range of $45 million to $51 million. At the midpoint of $48 million, this includes approximately $41.5 million of product sales and approximately $6.5 million of development sales. Based on our current expectation for product mix, we see gross margin for Q2 2020 in a range of 21% to 25%, which includes approximately $500,000 of stock-based compensation. Product gross margin is expected to be in a range of 24% to 28%, and development gross margin is expected to be approximately 7%. Operating expenses for Q2 2020 are expected to be approximately $18 million, which includes approximately $5 million of stock-based compensation and $650,000 of purchase intangible amortization related to the Nutronics acquisition. For the second quarter, we expect adjusted EBITDA in a range of breakeven to a profit of $3 million. We expect Q2 average basic shares to be approximately 38.2 million. We continue to expect Nutronics to contribute between $25 million to $40 million of revenue during 2020. We will now open the call for questions. Operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Today’s first question comes from John Marchetti with Stifel. Please go ahead.
John Marchetti: Thanks very much. Scott, I was wondering if you could talk a little bit about how you’re seeing demand outside of China as you’re looking at this 2Q here, maybe either by end-market or a little bit more by geography. And I’m just curious within that, if you have an expectation built in for a negative impact from COVID beyond just the sort of uncertainty that you’re still seeing out there.
Scott Keeney: Yeah. Thanks, John. So with respect to aerospace and defense, I think our outlook there remains strong. And obviously, the budgets that drive that demand are not affected directly. Certainly, we see supply chain disruptions across the board, but in demand you have very strong outlook there. Outside of China in the industrial and microfabrication markets, it’s more difficult. We certainly are seeing strong demand right now. But beyond Q2, it’s difficult to understand the implications of COVID.
John Marchetti: And then, I guess, just – as part of that, in the actual 2Q guidance, is there an expectation for a hit from COVID directly the way that you highlighted that $8 million in the first quarter? Or do you see it really more just a function of as demand shapes up, it’s already incorporated sort of in that?
Scott Keeney: Yeah, already incorporated, that we’re seeing good demand across all markets for the Q2 outlook that we provided.
John Marchetti: Great. And then just maybe as a last follow-up for me, if I think about the China market specifically, obviously, you continue to look for ways to mitigate some of the competitive pressures there and then seem to be succeeding at that. Can you talk at all about what the pricing environment looks like there for you right now?
Scott Keeney: Yeah, I think with respect to China and pricing, we’ve seen sort of more normal pricing as of late. And as I mentioned, I think as we showed the data, we’re certainly seeing the shift to higher power lasers. And as you go to higher power, technology gets more difficult and certainly less competition there.
John Marchetti: Great. Thank you very much for the color.
Scott Keeney: Thanks John.
Operator: Our next question comes from John – I’m sorry – Joe Wittine with Edgewater Research. Please go ahead.
Joseph Wittine: Hi, thanks. Can you guys hear me?
Scott Keeney: Yeah, no problem, Joe.
Joseph Wittine: Okay, awesome. Great results. In D&A, I was wondering if there is any sign that orders were pulled in ahead of the supply disruptions, or is this just kind of organic demand, the strength you saw?
Scott Keeney: Yeah, it’s organic. We didn’t see any pull-ins there. So we saw demand across both the new segment we’re listing for development, but also in our legacy products also continued growth there.
Joseph Wittine: Okay. And then, maybe as a follow-on to the prior question on price declines, Scott, I think you said China industrial is not impacted. But, Ran, you mentioned at some point, I think in your gross margin commentary that there were some price declines that impacted the GM line. Could you go into detail on just what segment or products that implies?
Ran Bareket: Sure. When Scott commented on the price decline, he talked about Q1 first quarter compared to the previous quarter, where we saw some stability there. In my opening remarks, I talk about previous quarter, previous year in Q1 2019 versus Q1 2020, obviously, year over year there is some price impact on the margin from China.
Joseph Wittine: Got it. Sorry, I misinterpreted that. Maybe just finally for me, on the commentary, Scott, on fiber lasers being underpenetrated, I think you said outside of China. Could you give any more details there on where the most fertile market opportunity is for the broad market and specifically for nLIGHT from a product and geographic perspective?
Scott Keeney: Yeah, sure. I mean we certainly see opportunities for growth across the globe. I think outside of China, where we’re seeing strong continued growth really in all of the end-markets in cutting, especially as we continue to ramp our products that offer the programmability. Well-being, I think we’re still in the earlier days there. We’re seeing some good initial demand, obviously, in EV and other areas. And then finally, additive manufacturing remains an opportunity that I think will be important for the future. So really across the board, we see the opportunity for lasers to continue to displace, and then, also continue to enable new applications. And as I mentioned, automation is certainly one of the general themes that we see driving a lot of this demand.
Joseph Wittine: Understood. Thanks, guys.
Scott Keeney: Great. Thank you.
Operator: And our next question today comes from Tom Diffely with D.A. Davidson. Please go ahead.
Tom Diffely: Yes, good afternoon. I was hoping you can give us a little color on what you’re seeing on the higher margin microfabrication part of your business.
Scott Keeney: Good. Hi, Tom. We’re definitely seeing demand picking up in that area. And the end demand that appears to be driving that is notably in 5G and infrastructure and handsets, as short pulse, lasers continue to be important in that space. We have a very strong position in providing differentiated semiconductor lasers that drive those sort of lasers. There are other end markets also, such as marking and new applications that are using those lasers. But I think at the highest level, the 5G demand does appear to be one of the drivers of demand growth there.
Tom Diffely: Okay. Would you expect the percentage of microfabrication to be larger next quarter?
Scott Keeney: Percentage overall or?
Tom Diffely: Yeah. Well, percentage of your products.
Ran Bareket: Tom, we are not breaking out the – in the guidance to the different end markets. But I can tell you that we are seeing for – embedded in the Q2 guidance that we gave, we are seeing a strong demand throughout the 3 end markets that we’re serving.
Tom Diffely: Okay. Good enough. And then, Ran, when you look at the $2 million-plus that’s come out of the OpEx over the last quarter, it looks like it’s going to stay out. Are those driven by just kind of your temporary cost reduction measures? Or are some of those – some of that reduction more permanent?
Ran Bareket: So if you look at the OpEx, the right way to look at the OpEx is without stock-based compensation. There is a little bit up and down in stock-based compensation since some of the costs there depend on the stock price. If you will take out the stock-based compensation, a good range for our OpEx, it’s anywhere between $12.5 million to $13 million a quarter. It was right for the last 5 quarters or so. And it would be right for the next quarter as well.
Tom Diffely: Okay. And then finally, I guess, when do you plan to move into your new facility?
Scott Keeney: We’re in process right now. It will be an ongoing process. Moving sophisticated manufacturing processes does take time. But we are excited about implementing our new automated manufacturing in this facility. It’s a nice facility. Sharp Laboratories was the previous site. And we’re out looking forward to ramping up over the coming quarters.
Tom Diffely: Great. Thanks for your time.
Scott Keeney: Thank you, Tom.
Operator: Our next question comes from Jim Ricchiuti with Needham & Company. Please go ahead.
James Ricchiuti: Thank you. Good afternoon. Hey, Scott, I’m looking at the Nutronics revenue range that you’re providing for 2020. And it’s a little surprising. We’re 4 months into the year, and that range isn’t moving much. And I’m wondering, if you could help us maybe to understand what you might be seeing and when you might have a better idea of how that portion of the business plays out?
Scott Keeney: Yeah. Good. Yeah, certainly, what we’re seeing is the end demand is solid there. There – to date, there’s been some delays on the supply chain there. But that end demand is remains solid. So the timing on that revenue is what leads to that uncertainty. But we have pretty good visibility into the end demand that is driving that.
James Ricchiuti: And if we think about getting to the mid or higher end of that range, is this line of sight for revenue late in the year? Or there are some projects that could hit earlier, but it sounds like whatever is you’re seeing is getting shifted a little bit to the right.
Scott Keeney: Yeah. It’s just timing. So the demand doesn’t change. It’s just the timing on when we deliver and when we recognize that revenue. Does that help you?
James Ricchiuti: Okay. Yeah, it does. Ran, if I look at the laser product revenue guidance at the midpoint, the $41.5 million for the June quarter? I’m wondering, how we should think about gross margins and when you could – at what levels of higher product revenues could we begin to really see the gross margin lift that maybe we’re more accustomed to going back to early 2019?
Ran Bareket: Sure. So you’re looking at it correctly, and you need to look at the product segment rather than the entire company, obviously, the development segment is coming with 7%, 7.5% margin, which would impact in higher margin for the company. However, for the product segment, you saw that we improved the margin quarter-over-quarter from Q4 to Q1, and the guidance that we provided is also with higher margin on the product segment. Going forward, again, it’s the same story. As we will continue to grow the company, especially the microfabrication where the margin is higher as well as the industrial, where we are moving more and more to getting revenue outside of China. And within China, revenue, you see that we grow significantly the high-end or high-power 6-kilowatt and above year-over-year. And that portion will even grow further as well. All of those factors will help us to improve the margin. Obviously, there is always the tariff that we are paying this quarter. In Q1 2020, we paid $1 million, as I mentioned, which is more than 2% on our margin. Once that will go away, and hopefully, it will be soon, the margin will improve as well. So the same factor was that that we saw in previous years, definitely, we will see that going forward as we grow the company.
James Ricchiuti: But it sounds like one of the big levers in this is going to be the eventual pickup and sustainable pickup in microfabrication.
Ran Bareket: This is correct.
James Ricchiuti: Yeah. Okay. Thank you.
Ran Bareket: Sure.
Operator: Our next question comes from Mark Miller with The Benchmark Company. Please go ahead.
Mark Miller: Thank you. I was just wondering, IPG reported last night that while China was showing some signs of improvement late in the quarter, but other areas such as Europe and North America were softening. I’m just wondering what you’re seeing in terms of the trend geographically?
Scott Keeney: Yeah. I think, we’re seeing a strong pickup in China. Outside of China, it’s a little harder to say, Mark. The visibility is just limited.
Mark Miller: Okay. Can you provide your North American sales as a percent, please?
Scott Keeney: Hold on a sec. You know, Ran?
Ran Bareket: Yeah. Give me must one second. North America sales in Q1 was 48%, $21 million for the entire company.
Mark Miller: Okay. Just wanted to confirm, the Nutronics sales last quarter were $4.4 million.
Ran Bareket: Correct.
Mark Miller: Thank you.
Ran Bareket: Thank you.
Operator: Our next question comes from Greg Palm with Craig-Hallum Capital Group. Please go ahead.
Danny Eggerichs: Hey, guys. This is Danny Eggerichs on for Greg today. When we’re looking at China and kind of the rebound scene starting in March and then going and escalating into April, is there a way to kind of stack that up and look at demand and activity levels compared to like what you were seeing last year at this time?
Scott Keeney: Yeah. I mean, what we’re seeing is typical for China coming out of Chinese New Year. So it’s a little hard to break it out. There is that seasonal change. In China, we were shut down for formally for a week, but there’s been delay due to the COVID shutdowns around the country. So there’s some of that also going on. It’s a little hard to break those things out. But certainly coming down Chinese New Year, we always see increase in demand.
Danny Eggerichs: Okay. Thank you. And I guess, in terms just of how you’re managing the business in the near-term and kind of balancing long-term investments. I know, you said you plan to continue on investing in the business. Has anything changed in terms of different segments you plan on investing in given the recent events?
Scott Keeney: Nothing materially is different. So we continue to see opportunities across all the key markets that we serve.
Danny Eggerichs: Okay. Great. And then just a last one for me, I guess, within microfab, kind of visibility into the second half, specifically in end-market like consumer electronics. Can you give a little bit of color on that and what you’re seeing there?
Scott Keeney: Yeah, as I said, there remains just uncertainty beyond Q2. There always is a good bit of that with the crisis, makes even harder to predict. What we’re seeing right now is an uptick in demand in that segment.
Danny Eggerichs: Alright. Thanks, guys. It’s all for me.
Scott Keeney: Thanks, Dan.
Operator: And our next question comes from Jed Dorsheimer with Canaccord Genuity. Please go ahead.
Jed Dorsheimer: Hi, thanks. I asked your competitor this yesterday. I guess I’d like to ask you guys the same thing. With respect to China and kind of the uptick in – Scott, I know you said that you’re seeing some of the typical signs kind of post Chinese New Year. One of the things I struggle with is that China being an export economy and the rest of the world being shut down from a demand perspective, where the true driver is coming from? Because it doesn’t seem like it’s coming from a capacity expansion perspective. So are you seeing the early signs? Is this a function of kind of factories being shut down and doing up-fits or planned efficiency increases that’s driving some of this or do you think that you’re seeing actual capacity expansions? Wondering if you could just opine and give us a bit of color on that?
Scott Keeney: Sure. It’s difficult to tell, obviously, but we are seeing capacity expansions that are real as in industrial as companies move from lower power to higher power lasers, and benefit from those efficiency gains in doing so. And then, in microfabrication, I’d note again, the 5G investments for real capacity that is needed for not only handsets but also all the infrastructure that appears to be driving demand also. I think your concern is one that we’re all concerned about, it’s what does the global economy do. Don’t know from what we see coming out of China. We do see increases in real capacity, both in industrial and microfabrication right now.
Jed Dorsheimer: And any specific end-markets within those categories that are kind of driving; for example, in auto, are you seeing for battery assembly for example, color on that within those things?
Scott Keeney: Yeah. Good. So with micro that’s clear. With industrial, I think that the biggest source of the demand growth really is in standard broad range of industries that use lasers for metal cutting, which is primarily not automotive there. However, we do see some automotive also, especially with electric vehicles, some of that demand also driving some of this growth that we’re seeing.
Jed Dorsheimer: Got it. I jumped on a little bit late. Did you talk about the directed energy program? And any sort of updates with the DOD and the work that you’re doing on that side of things?
Scott Keeney: Well, let’s see. What we’re – definitely this was a very strong quarter, with 34% organic growth in our aerospace and defense segment. That’s without Nutronics. So with Nutronics, it’s up to about 39% of our overall revenue for the quarter. So we’re definitely seeing strong end-demand for direct energy, and that demand provides us with the ability to see how that’s going to continue to grow over time, with the only uncertainty being the timing on our revenue in that segment.
Jed Dorsheimer: Got it. Last question for me, did you, in fact, see – your competitor mentioned that in the low-power side of the market that prices have in fact stabilized after about a year of coming down. Are you seeing the same thing there or just as we look at the – yeah…?
Scott Keeney: Yeah, we’re seeing a more normal pricing in those segments right now, in China. Yeah.
Jed Dorsheimer: Great. Great, thank you.
Scott Keeney: Thanks, Jed. Appreciate it.
Operator: And, ladies and gentlemen, this concludes the question-and-answer session. I would like turn it back over to the management team for any final remarks.
Scott Keeney: So thank you, everyone, for your participation today. And we look forward to chatting over the coming weeks and months. Have a good rest of your day. Take care.
Operator: Thank you. This concludes today’s conference call. You may disconnect your lines at this time and have a wonderful day.